Operator: Good morning, ladies and gentlemen, and welcome to Comcast Third Quarter Earnings Conference Call. [Operator Instructions] Please note that this conference call is being recorded. I will now turn the call over to Senior Vice President, Investor Relations, Ms. Marlene Dooner. Please go ahead, Ms. Dooner.
Marlene S. Dooner: Thank you, operator, and welcome, everyone, to our third quarter earnings call. Joining me on the call are Brian Roberts, Michael Angelakis, Steve Burke and Neil Smit. As we have done in the past, Brian and Michael will make formal remarks, and Steve and Neil will also be available for Q&A. With the completion of the Universal Orlando transaction on July 1, we're now consolidating its results and have updated our pro forma presentation to include 100% of Orlando, as if that transaction was effective on January 1, 2010. Please refer to our trending schedules, which are available on our Investor Relations website to see the updated pro forma results for the past 7 quarters. We have also added D&A and operating income by segment to the trending schedules. As always, let me refer you to Slide #2, which contains our Safe Harbor disclaimer and remind you that this conference call may include forward-looking statements subject to certain risks and uncertainties. In addition, in this call, we will refer to certain non-GAAP financial measures. Please refer to our 8-K for the reconciliation of non-GAAP financial measures to GAAP. With that, let me turn the call to Brian Roberts for his comments. Brian?
Brian L. Roberts: Thanks, Marlene, and good morning, everyone. Today, I'm pleased to report another quarter of strong performance across key financial, operating and product areas. Our primary focus has been on great operational execution and on extending our industry leadership. Let's begin with Cable, which really had an outstanding quarter, making this the fourth consecutive quarter of improving customer metrics. Our combined video, voice and data customer additions increased 13%. In addition to customer growth in high-Speed Internet and voice, we saw a continuing improvement in video, where we reduced our customer losses by 110,000 over last year's third quarter. High-speed Internet was, once again, the largest contributor to Cable's revenue growth. Every quarter this year, we've added more high-speed Internet customers than in the same quarter of 2010, and we continue to take share as we expand the differentiation between our high-speed service and DSL. Business services is also becoming a significant driver of our growth, as annualized revenue approaching $2 billion and 39% growth in the quarter. I'm excited about the prospects for this business, which continues to post strong results on the small end of the market and has a big opportunity still ahead with the midsized businesses. We are making significant progress in delivering a better service experience for our customers, with higher customer retention and service scores and increasing customer satisfaction. We recognize that we still have work to do, but I am really encouraged by the focus that Neil and the whole Cable team have on delivering the best customer experience and by our consistent steps forward in this effort. At the same time, we are driving product leadership in innovation. A couple of years ago, we decided to invest in DOCSIS 3.0 and to convert the majority of our analog bandwidth to digital. I'm happy to say that we have completed DOCSIS 3.0 and All-Digital projects, and the results are fantastic. In fact, I really believe that it is a significant contributor to our strong results. We are now delivering more high def and foreign-language programming and have assembled the best collection of On Demand content anywhere, including over 30,000 choices on TV; 200,000 choices online; and 7,000 hours available on our XFINITY app. Today, more than 90% of all the major broadcast networks' fall TV series are available on XFINITY On Demand or xfinityTV.com. We're also making it easier for our customers to search, discover and access all this great content. We're expanding availability of On Demand to the Xbox, and we recently relaunched xfinityTV.com with better personalization and recommendations, and we continue to enhance our guides across all our platforms. We're seeing early success from our latest new product, Xfinity Signature Support or expanding businesses like XFINITY Home Security. We're also working on the next round of exciting new products like next-gen TV, dynamic ad insertion and more. It's really an exciting time. I think Cable's results so far this year showed that our scale, our XFINITY brand and our intensified focus on service and innovation are coming together to make a real difference. Our Cable business is in terrific shape today and in a very solid position for the future. Let me now switch to NBCUniversal, where we continue to make progress toward a successful integration and our goal of long-term growth in the value of these assets. NBCUniversal's results this quarter, once again, underscored the strength of the core Cable Networks business, as well as terrific momentum at the Theme Parks. As you know, Cable Networks drive the profitably of NBCUniversal, and they continue to perform well with consistently strong revenue growth. We are investing in programming to make them even more valuable for our customers and distributors, and the good news is that we're already starting to see the benefits of our investments. For example, this summer, USA had 7 of the top 10 scripted series on basic Cable, and E! had the highest rated September in its history. The Theme Parks, the Harry Potter and King Kong attractions, have set new levels of performance, and we're excited to see that continued in the third quarter. As you know, NBCUniversal now owns 100% of Universal Orlando, and we see real opportunities to further build the Theme Parks business. At the same time, Telemundo just won the exclusive U.S. Spanish-language rights to the FIFA World Cup soccer from 2015 to 2022. This agreement includes both the men's and women's World Cups, 2 World Cups each, hundreds of matches and many other FIFA soccer events for 8 years. It includes all platforms, so we will cover and cross-promote games and events across our various channels on broadcast and cable, as well as online, wireless and On Demand. This investment should be profitable for Telemundo, a real game changer for that business and opportunity for our company. We feel we are making real progress in all fronts and that our disciplined investment approach is yielding positive results. Overall, I'm really pleased with this quarter's results, including over $900 million of capital returned to shareholders. I believe the stability of our businesses and free cash flow generation will allow us to continue to build value and consistently return capital to shareholders. Let me now pass to Mike Angelakis to cover the third quarter results in greater detail.
Michael J. Angelakis: Thank you, Brian. Let me begin by reviewing our consolidated financial results starting on Slide 4. Overall, we are very pleased with third quarter results. Third quarter consolidated revenue increased 51.1% to $14.3 billion, and consolidated operating cash flow grew 27.8% to $4.6 billion, reflecting strong organic growth in our Cable business, as well as consolidating the acquisitions of NBCUniversal on January 28 and the remaining 50% of Universal Orlando on July 1. Free cash flow for the quarter, which excludes the impact of the economic stimulus, increased 36% to $1.4 billion, primarily reflecting growth in operating cash flow, that was partially offset by an increase in working capital. In addition, third quarter free cash flow per share increased 39% to $0.50 per share. Earnings per share in the third quarter grew 6.5% to $0.33 per share from $0.31 per share last year. This quarter's EPS growth was negatively impacted by a $256 million or $0.05 per share decline in investment income that was primarily driven by noncash mark-to-market adjustments in our investment portfolio. Please refer to Slide 5. As I have mentioned previously, we view Comcast and NBCUniversal as 2 distinct pools of cash flow generation and funding capacity. As you can see on this slide, year-to-date we generated $5.1 billion of total free cash flow. In Comcast, which includes Cable Communications and Corporate and Other, accounted for just over $4 billion or 78% of total free cash flow, while NBCUniversal contributed $1.1 billion of free cash flow. In terms of capital allocation, our priority for both Comcast and NBCUniversal is to generate strong returns by investing in their core businesses. Beyond this investment, NBCUniversal retains its free cash flow to fund future equity redemptions, while Comcast allocates the majority of its free cash flow to consistently return capital to shareholders. As Brian mentioned, in the third quarter, we returned $909 million, including share repurchases totaling $600 million and dividend payments totaling $309 million. Year-to-date, we have returned $2.5 billion or 63% of Comcast Cable's free cash flow to shareholders. We continue to execute on our financial plan for 2011. We expect to complete our existing share repurchase authorization by year-end. Our return of capital plan for 2012 will be reviewed by management and our board in the next few months, and we'll provide an update for 2012 on our year-end earnings call in February. Please refer to Slide 6 in order to review our pro forma results. This slide represents the pro forma results of our Cable Communications and NBCUniversal businesses, just how we evaluate the performance of our organization and segments. We believe the pro forma presentation provides a more meaningful comparison of the operating performance of the businesses. In the third quarter, consolidated revenue increased 4.9% to $14.3 billion, and consolidated adjusted operating cash flow increased 5% to $4.7 billion. Please note that the adjustment to operating cash flow excludes $82 million of noncash acquisition-related accounting revisions and costs. In the third quarter, Cable Communications revenue increased 5%, represented 65% of consolidated revenue, while Cable operating cash flow grew 6.7% and represented 80% of consolidated operating cash flow. I will review our Cable results in more detail in the next few slides, but let me first briefly review NBCUniversal's results. Third quarter NBCUniversal revenue increased 4.6%, and adjusted operating cash flow decreased 1.4%, reflecting strong results at Cable Networks and Parks, offset by weaker performance at Broadcast and Film. The Cable Networks generated revenue of $2.1 billion in the third quarter, an increase of 12%, primarily driven by a 10% increase in distribution revenue and a 9.5% increase in advertising revenue reflecting the continued strength of our Cable network franchises. Other revenue increased 37% or $54 million, primarily due to increased volume of our Cable production studio for both NBCUniversal and third-party cable networks. Third quarter Cable Networks adjusted operating cash flow increased 8.5%, reflecting the strong top line growth, partially offset by our ongoing investment in original programming. Year-to-date, Cable Networks revenue has increased 12.6% to $6.3 billion, and adjusted operating cash flow has increased 7.6% to $2.5 billion. We have terrific momentum at USA, which continues to be the highest rated basic cable network, driven by the success of its original programming. We're applying the same successful formula to some of our other entertainment channels like Style, which launched several new shows driving a more than 90% increase in its key demographic during the third quarter. We have a great portfolio of channels with a good mix of established and emerging networks. And with the appropriate investment and cross-promotion, we are confident we can continue to generate strong results. Moving to our Broadcast group. Third quarter Broadcast Television revenue increased 2.9% to $1.5 billion, primarily reflecting flat advertising revenue and higher content licensing revenue from the international TV production, including Downtown Abbey and domestic syndication of 30 Rock. This quarter's flat advertising revenue growth reflects higher pricing that was partially offset by weaker prime time ratings in NBC, as well as lower political advertising on our own TV stations. Similar to our local cable advertising business of Spotlight, political advertising comparisons will be a bit more difficult in the fourth quarter, as the NBC local stations generated $50 million of political advertising in the fourth quarter of 2010. Third quarter Broadcast adjusted operating cash flow decreased to $17 million from $70 million in 2010, reflecting increased programming and marketing costs associated with the NBC prime time schedule, higher news coverage costs and increased investment at our local TV stations during the quarter. Year-to-date, Broadcast revenue has increased 8.7% to $4.6 billion, and adjusted operating cash flow has decreased 1.1% to $283 million, excluding the impact of the Olympics in 2010's results. Moving on to Film. Filmed Entertainment revenue declined 7.8% to $1.1 billion this quarter principally due to lower theatrical revenue from this quarter's releases compared to the success of Despicable Me in the third quarter of 2010. Home entertainment revenue increased 20% this quarter, driven by the success of Bridesmaids and the international DVD release of Fast Five. Film adjusted operating cash flow decreased to $18 million compared to $66 million in the third quarter of 2010, mostly reflecting this quarter's weak box office results. Year-to-date, Film revenue has increased 1.2% to $3.3 billion, and adjusted operating cash flow has declined $139 million to a loss of $81 million. With the consolidation of 100% of Universal Orlando, we reported $580 million of revenue at the Theme Park group, a 9% increase that was driven by double-digit increases in per capita spending and relatively stable attendance at both parks. Third quarter operating cash flow increased 12.6% to $285 million compared to $252 million in the same period last year. Year-to-date, Theme Parks revenue has increased 32.9% to $1.5 billion, and adjusted operating cash flow has increased 61.2% to $644 million. Please refer to Slide 7 to review Cable Communications results. We had another strong quarter of financial and customer growth in our Cable segment, as we continue to successfully balance unit and ARPU growth. For the third quarter, Cable Communications revenue increased 5% to $9.3 billion, reflected solid performance in our recurring Residential business and continued strength in business services, partially offset by lower advertising revenue. Year-to-date, our Cable segment's revenue has increased 5.5% to $27.8 billion. The Cable business continues to perform well, as we are managing the business for sustainable and profitable growth. In the third quarter, total revenue per video customer increased 8% to $139 per month, reflecting an increasing number of residential customers taking multiple products and a higher contribution from Comcast business services, partially offset by lower advertising revenue. We continue to focus on providing multiple services to our customers. At the end of the third quarter, 70% of our video customers took at least 2 products and 36% took all 3 services. We had a strong back-to-school season during the third quarter, driving 229,000 total video, high-speed Internet and voice customer additions, a 13% increase in net additions versus a year ago and marking the fourth consecutive quarter of improved year-over-year total customer growth. We are competing better with improved products, and our focused on retention and customer service has again resulted in lower churn year-over-year across all of our services. As we look at the residential service categories, third quarter video revenue increased 1.1%, reflecting rate adjustments and an increasing number of customers taking higher levels of digital and advanced services. In the third quarter, we lost 165,000 video subscribers, a 40% improvement over the third quarter of 2010. In addition, we added 126,000 high def and/or DVR customers in the third quarter and now have 10.6 million HD or DVR customers, equal to 53% of our digital customer base. High-speed Internet revenue increased 9.8% during the quarter, reflecting rate adjustments, continued growth in our customer base and increasing number of customers taking higher-speed services. Today, over 24% of our residential HSD customers take a higher-speed tier above our primary service. Our HSD service is capturing more market share, as we continue to differentiate our product through service and speed enhancements. In the third quarter, we added 261,000 new High-speed Data customers compared to 249,000 last year, and our penetration is now 34% of homes passed. Voice revenue increased 6.3% for the quarter, reflecting continued growth in our customer base. In the third quarter, we added 133,000 voice customers, and our penetration is now 18% of homes passed. Business services also continues to be a significant contributor to our performance, with revenue increasing 39.4% in the quarter to $464 million. Our momentum continues to be strong on the small end of the market, and we now have Metro-E and PRI trunked voice available in all our markets and are just beginning to execute on the midsize market opportunity. In the third quarter, cable advertising revenue decreased 4%. However, this decrease was impacted by a decline in political revenue. Excluding this political revenue, cable advertising increased 3.1%. As a reminder, we generated $100 million of political ad revenue in the fourth quarter of 2010, which, as I said before, will make comparisons a bit more challenging next quarter. In the third quarter, total Cable revenue, excluding advertising, increased 5.6%, which is consistent with the first half of the year. Please refer to Slide 8. Third quarter Cable Communications operating cash flow increased 6.7% to $3.7 billion, resulting in a margin of 39.8%, a 60 basis point improvement compared to last year's third quarter. Year-to-date, our Cable segment's operating cash flow has increased 7.1% to $11.3 billion, resulting in a margin of 40.9%, also a 60 basis point improvement compared to the same period in 2010. In the third quarter, total expenses in Cable increased 3.9%, reflecting a 6.4% increase in video program expense, as well as increased marketing spend. Sales and marketing expenses increased 10.7% this quarter, as a result of higher overall media spend and a continued investment in direct sales to more effectively target customers and enhance our competitive position. Our marketing investment is clearly yielding positive results. Our XFINITY brand is now launched in 100% of our footprint, and we've seen consideration levels among non-customers, that is potential customers willing to evaluate and consider our brand for purchase, grow by over 47% since the launch of XFINITY. In addition, we continue to invest to expand the capabilities of business services, including the hiring of over 600 people in the last 12 months to support our growth in small business and our entry into the midsize market. We remain very focused on expense management, driving greater efficiencies and effectiveness throughout the organization. Similar to prior quarters, ad expense improved as we continue to improve our retention, collection and screening processes. In addition, meaningful improvements in our operating metrics are not only assisting to improve our customers' experience, but are also driving operating efficiencies throughout the business. In the third quarter, even as we incurred incremental costs and activity levels from Hurricane Irene and a strong back-to-school season, customer service expense was flat compared to last year, and technical labor expenses declined by 1%. Please refer to Slide 9 to review our Cable Communications capital expenditures. Through improved efficiencies, we continue to reduce the capital intensity of our Cable business. In the third quarter, Cable capital expenditures decreased 4.9% to $1.3 billion, representing 13.4% of revenue. This quarter's decline reflects lower spending on CPE, primarily driven by more favorable pricing. In the third quarter, we deployed 479,000 advanced HD and/or DVR set-top boxes. And as I mentioned earlier, 53% of our digital video customers now take an advanced service. Also during the quarter, we deployed 1.3 million digital adapters, for a total of 21.9 million digital adapters deployed since the inception of the All-Digital project, which, as Brian mentioned, is now complete. This has been a terrific initiative that has provided significant product enhancements and operational benefits, as well as generating strong financial returns. Over the past year, we've begun to recapture the remaining B1 analog bandwidth in a number of our markets. We plan to continue this effort as we anticipate additional operating efficiencies and strategic benefits from fully digitizing our systems. Third quarter CapEx also reflects meaningful investments to support the continued growth in business services and to expand our efforts in the midsize business area. Our investment in business services increased 15% to $147 million in the third quarter, and year-to-date has increased 35% to $453 million. Year-to-date, total Cable capital expenditures has increased 4.1% to $3.5 billion, equal to 12.6% of revenue. We are executing well on our 2011 capital plan and believe our capital intensity can continue to moderate even as we invest capital in areas that provide attractive returns, expand our service and product offerings and drive future organic growth. So as we review the performance for the third quarter and year-to-date, we feel very good about our operating momentum and focus on execution. Our Cable Communications business continues to perform well and deliver strong operational and financial results. Also in the 9 months, we are pleased with the progress at NBCUniversal and look forward to executing on the opportunities ahead of us. Now let me turn the call to Marlene for Q&A.
Marlene S. Dooner: Thanks, Michael. Operator, let's open up the call for Q&A, please.
Operator: [Operator Instructions] Our first question comes from the line of Jason Bazinet with Citi.
Jason B. Bazinet - Citigroup Inc, Research Division: I just have a question for Mr. Smit. Over the past few quarters, we've seen your data net adds accelerate on a year-over-year basis, and the phone numbers net adds decelerate. I was just wondering. Is that a function of overt changes on your part in terms of marketing spend and product positioning or would you describe that as something organic that's just happening in the marketplace?
Neil Smit: Well, I think it's a little bit of both, Jason. HSI continues to grow, and we're over indexing versus last year, and I think that's primarily organic and that we have a superior product. With regards to the phone product, CDV, that has -- we did a really strong back-to-school campaign, and we're refocused more on single and double products, and we were less focused on Triple Play, and I think it showed in the video and the HSD results. As we were still indexing, if you look at year-to-date, 80% versus last year. So the indexing is still in line, and as we go into the fourth quarter, we'll return more to our normal marketing program, which is primarily focused on Triple Play.
Operator: Our next question comes from the line of Jessica Reif-Cohen with Bank of America Merrill Lynch.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: Here's my really long one question. In SME, the growth was excellent, but it's a little bit slower. and I'm wondering if you could just talk about what's actually going on there because CapEx was lower as well. Over the last few quarters, it's slowed down. And can you give us the margin in that business? And then, Mike, on the buyback, I know you said you're going to address the buyback in the next few months. But with only $490 million less, it looks like you're going to run through the buyback before year-end. And I'm just wondering if you could say anything about the timing. And then finally, could you give us any color on advertising in Cable and broadcasting for the fourth quarter?
Michael J. Angelakis: Okay, we have 3 questions there, Jessica. On the SME side, actually I wouldn't read anything into that at all. It's going at 39% for the quarter, obviously a bit higher for the year but that included some of the comps from last year where we had the acquisition of CIMCO and NGT. So that business has great momentum, and we're excited about it and investing in it. And that's particularly on the small part. On the medium side, we continue to invest pretty heavily as well. With regards to margin, it is an accretive margin. I've said publicly that the small side of that business right now has accretive margins for us, and we're very pleased with how that business is being managed. You're right on the buyback. We'll exhaust the authorization by the end of the year. We have just under $500 million left. So we will go through that by year-end. And then as I've mentioned before, we will sit down with our board and go through what we think the appropriate buyback and dividend will be for 2012. We feel good about that as well. You want to -- who wants to hit the advertising side? Steve?
Stephen B. Burke: Advertising business continues to be strong, stronger on the national side than the local side but continues to be strong. We're 90% sold out for the Super Bowl. We're seeing lots of demand for all sorts of cable and broadcast advertising, so that still continues to be a bright spot.
Operator: Our next question comes from the line of Jason Armstrong with Goldman Sachs.
Jason Armstrong - Goldman Sachs Group Inc., Research Division: Maybe just one question on the NBC side. You called out earlier this year a couple of hundred million in additional investment. There is news last week around major investments in NBC-owned stations. I'm wondering should we be thinking here about another round of additional investing and anything you'd sort of call out around that.
Brian L. Roberts: The short answer on the owned stations side is, it's not a lot of money, and some of that money will come back. We've actually got some nice ratings momentum in some of the markets, including New York City. But the numbers are not big. I think the total investment we're talking about in terms of incremental head is in the $20 million, $30 million a year range.
Operator: The next question comes from the line of Craig Moffett with Bernstein.
Craig Moffett - Sanford C. Bernstein & Co., LLC., Research Division: A question for Neil. Can you just update us a bit on where we are with Xcalibur and what we'll see in the next quarter from Xcalibur rollouts, particularly with the new interface and how you're positioning it? Because it requires a new set-top box, as I understand it, will it be positioned as a premium service and pricing and what have you?
Neil Smit: Craig, so as you know, Xcalibur is our next-gen IP service, and it provides a better UI and access to a lot of different interactive services. We're testing down in Augusta right now, and we've been very pleased with the test results. I think in terms of rollout, we're currently working on a rollout. We'll go to a major market in the first half of the year, and then we'll be rolling it out on a more widespread basis during the year. And we'll be able to roll out Xcalibur across a variety of platforms including the Parker box that we have in Augusta, additional high-end set-top boxes and other COM devices, customer-owned and maintained devices, such as the Xbox and other devices. So from a positioning perspective, we're not quite clear how we want to position it yet. We're working on that into what customers it'll go and the pricing and whatnot. So that's work in progress.
Brian L. Roberts: One of the most -- it's Brian. One of the most significant aspects that appeals to us, and we're seeing that as we tweak it, is having the guide be on -- in the cloud and being able to move quickly and make changes and tweaks and modifications and create new apps. So we have an app we're testing. For instance, we saw yesterday within the sports area where you get just instant access to all the various games on television, and you know what's happening right now and you can change or just get updates or little video snippets, variety of things that also work on the iPad shortly. And so very, very exciting for the road map of innovation when you move the brains out of the box into the cloud.
Operator: The next question comes from the line of Doug Mitchelson with Deutsche Bank.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: Brian, you highlighted this is the fourth quarter in a row of subscriber improvements. I think this is the best year-over-year video improvement since 2003, which is remarkable. So my one multipart question here is whether the momentum can continue for fifth quarter and beyond. And so Neil, on your side, are the biggest improvements behind us because you leveraged All-Digital? And specifically, what are you seeing in the December quarter so far? And then Michael, sort of same concept. You've had terrific margin expansion this year. Is that something that can continue? Or are we sort of rebased going to All-Digital
Neil Smit: Doug, from a video perspective, we've been pleased with the results. I think it's based on a number of different factors. One is, I think, we're competing with better products. When the platforms were extended, with DOCSIS and All-Digital and CCDN, we're able to have better content, more content, better guides and XFINITY TV apps, which has now been downloaded 3.3 million times, as Brian mentioned. I think we're improving our customer service from both the reliability and convenience perspective. We're offering more customer service features online, for example. I think we've improved our retention and our focus there. We're doing better customer roll-offs, and I've been really proud of our field teams and how they're servicing the customer better. And I think our marketing investments have paid off. We increased marketing this quarter. It was very targeted, and the XFINITY brand is now taking stronghold. Non-customer consideration is up over 45%. So I believe that a lot of those investments are sustainable as it pertains to the actual subs themselves. We're pleased with the initial results. It's very early in the quarter to tell, but we'll keep focusing on it and offering new products and services on our video business.
Michael J. Angelakis: I'll take the margin question, Doug. The team has done a great job on margin improvement. As you can see, we're up 60 basis points for the quarter, as well as 60 basis points for the year. There's always some positives, some negatives. Some positives are we have improving product mix, which, as I said, business services and High-Speed Data and phone are certainly accretive. We also, as Neil has mentioned, are gaining real efficiencies in the business. So improving customer service in other areas is really actually helping on the operating cost, and that's been great results. We do have some negatives. Programming costs are a challenge. We continue to focus on that. But also we're making some real investment, whether it be marketing, as Neil just mentioned, or new services like we're doing a lot more in the midsize, where we're making some real investment. We're launching security, where we're doing some real investment. We're -- Xcalibur, we just talked about as well. So I feel pretty good about the margin. I think the team's done a great job, and I would look, hopefully, we can keep pretty stable margins.
Operator: Our next question comes from the line of John Hodulik with UBS.
John C. Hodulik - UBS Investment Bank, Research Division: Maybe a question for Michael. On the -- you had some constructive comments on CapEx. But now at the end of the DOCSIS 3.0 and the All-Digital rollouts, can you shift some CapEx into new priorities? For instance, can you spend more in commercial and induce the growth rates there? And maybe just the benefits you've been seeing in CPE sort of start to flatten out or maybe go away with the rollout of the new boxes with Xcalibur.
Michael J. Angelakis: Well, one thing I want to make perfectly clear -- Neil, can jump in -- is I don't think we are "robbing from Peter to pay Paul" at all. I think we're investing a meaningful amount in new services like business services on the medium side. So I think we're being pretty aggressive with how we're funding those opportunities or security or Xcalibur or other kinds of areas. When you think about CapEx overall, I think, right now, we're just about 12.5% year-to-date with regards to our capital intensity, and I think as we enter the fourth quarter and go into 2012, we have a pretty good shot of bringing that intensity down a bit, while still being pretty aggressive of investing in areas where we think are terrific growth opportunities that have high ROI. So capital has been a focus of ours, and I think the team's done a great job of investing smartly in -- DOCSIS 3.0 and the All-Digital project are just great examples of terrific investments for us.
Operator: Our next question comes from the line of Ben Swinburne with Morgan Stanley.
Benjamin Swinburne - Morgan Stanley, Research Division: Just one clarification and an actual question. Michael, on the accounting -- acquisition accounting revisions, I know you mentioned those are noncash. Are those just true-ups of purchase price accounting that you have to run through the income statement and then we're sort of done? Or is that something that you think is going to flow through?
Michael J. Angelakis: You're right. It is primarily all purchase price accounting adjustment, so it is noncash. It does go through the P&L. That's one of the reasons why we sort of showed you the adjusted operating cash flow. Because its noncash, it really doesn't impact the year-over-year performance. So we wanted to show you, and you can look at Table 6 in our press release that really articulates what those numbers look like, but -- to give you accurate comparisons. But we're pretty much done with purchase price accounting. So we hopefully won't see anymore meaningful numbers going through the P&L.
Operator: Our next question comes from the line of Stefan Anninger with Credit Suisse.
Stefan Anninger - Crédit Suisse AG, Research Division: Could you expand a bit on your HSD net adds and what proportion are coming as naked HSD subs versus bundled subs? Would it be fair to assume that naked HSD subs as a proportion of total HSD gross adds is growing? And given that, what are your longer-term plans with respect to pricing and packaging in naked HSD as it gets incrementally tougher to grab share from DSL, as maybe the low hanging fruit within the DSL base goes away?
Neil Smit: Stefan, this is Neil. HSD has been a great product for us, and I think we are successfully targeting DSL homes and taking share there because it is a better product. Our HSD-only subs as a percent of the HSD total are in the range of 10% to 15%. They've grown year-over-year, call it a couple of points. We will continue to offer -- go after that segment, and we'll use it also with an -- we have an HSD leading offer, within it combines HSD with either video or in some cases, phone. And that also has been a successful product for us. We're kind of -- we don't have a predetermined marketing plan. We kind of go with what sells best and what the consumers want, and we'll continue to adjust our pricing and packaging in that way.
Operator: Our next question comes from the line of James Ratcliffe with Barclays Capital.
James M. Ratcliffe - Barclays Capital, Research Division: If you could address My Choice TV a little bit. First of all, what sort of results you've seen in the rollout thus far? And also, what sort of ability do you have to roll it out wider, and what margin impact would that have? Would it be a traditional scenario if the customer doesn't take a bundle of channels he wouldn't be paying programming costs on the channels? Or would that negatively impact margins?
Neil Smit: James, well, as you know, we're always testing new packaging and pricing. My TV Choice being one of the alternatives. We're testing in at about 3 different markets. It's constructed so that you have a get started package with 40 to 50 channels, and then it get started plus that has that, plus sports. And then people can add on $10 theme packs, such as kids or sports or news and entertainment. We've seen -- I think its very early to tell in terms of the test results, and all these things are done within the parameters of our existing programming deals, and I think the concept there was to offer consumers more choice, and I think they're responding well to that, but it's very early to tell.
Operator: Our next question comes from the line of Marci Ryvicker with Wells Fargo.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: I just have a clarification. I think a question was asked on the $300 million investment in the cable and broadcast nets that you mentioned at the beginning of this year. Are you still comfortable with this level? And can you just talk about your progress with that so far?
Brian L. Roberts: Well, I think we're still sorting through investment opportunities and finding a lot of places where we think the business requires investment. I think what we tried to signal to people is that we thought this would be a flattish year in terms of operating cash flow, and that we would be making those investments in 2011 and 2012. The obvious question is, are you going to make a lot more? I think once you've got yourself at a level where you're making the right amount of investment in certain businesses like prime time and the cable channels, you don't need to exceed that level. So I think we're where we thought we would be. I don't think there's a huge amount of incremental investment in cable and broadcast. But on the other hand, we're still finding areas where we think there are very good ROI, solid investments that we don't want to box ourselves in. It's only been 9 months since we arrived and started making these investments. So I don't think there is a material increase. But on the other hand, when we find something that we think is worth investing in, and I think the World Cup soccer rights for Telemundo were a perfect example. If you're going to be in the business of Hispanic television, there are 2 major players. We have 20% market share, Univision has 80%. The premier property is World Cup soccer, and we think we structured a very attractive long-term deal to get those rights for Telemundo and certainly don't want to box ourselves into not being able to make those investments when they present themselves.
Operator: Our next question comes from the line of Vijay Jayant with ISI Group.
Vijay A. Jayant - ISI Group Inc., Research Division: A question for Neil. As you've done all these investments on All-Digital and DOCSIS 3.0, can you talk about the evolution of the video plan from an MPEG to an IP network and really the benefits and the costs of doing that and really how long could we see that evolution happen?
Neil Smit: Vijay, well, as you referred to we've extended both All-Digital and DOCSIS 3.0, as well as our CCDN investments, and that's been really positive from both a capacity perspective, as well as the channel perspective. Concerning IP, we currently distribute all of our VOD and our national linear TV in IP over the backbone. We then convert it to MPEG, transport it to our regional hubs so that our services are compatible with the existing deployed set-top boxes. I think the other thing that's happened is all of our back-end systems we've converted to Web services architecture. So we can do things like the iPad app and deploy new apps very quickly and easily. So we've made a lot of currently existing investments. I think over time, using IP, there'll be significant benefits as we gradually migrate customers over the IP platform. It's more efficient, and we can innovate faster, as Brian referred to earlier. So that's the way to think of it. A lot of the investments have been made, and we'll gradually migrate to IP over time. So I think it's a great platform. It's efficient, and it enables us to innovate faster.
Operator: Our next question comes from the line of Frank Louthan with Raymond James.
Frank G. Louthan - Raymond James & Associates, Inc., Research Division: Can you give us a little more color on the SME part of the business? You said you've increased some of the marketing spend. Was that also in the SME side? And what's the outlook for sales reps that you're hiring for the next 12 months? Are you pretty full there? Or are you looking to expand the sales force?
Stephen B. Burke: Frank, we did spend higher in marketing in the business services side. As Michael referred to with CapEx, where we see growth, we'll invest. And so we were happy to invest more in marketing. The small and medium businesses doing very well, and we're just getting into the midsize business, both with Metro-E and PRI, our hosted voice. From a hiring perspective, we hired up pretty significantly already to service the midsize market. We're seeing revenue, which will become more material in '12 and '13. We'll continue to invest in that growth. We think both markets, the small and medium, as well as the midsize are great opportunities. And we've got a great team there, who's growing the business in good strides. And we continue -- I think we'll continue to see the growth in that business.
Operator: Next question comes from the line of Phil Cusick with JPMorgan.
Philip Cusick - JP Morgan Chase & Co, Research Division: Can you talk a little bit about programming costs? We continue to see this rising. You talked about the sort of expecting that to continue from here. But what do you see going forward? Are we sort of moving through this retrans agreements? And is there any change in the direction either up or down over the next sort of year or so?
Stephen B. Burke: Well, I think in the quarter, it's hard to measure quarter-by-quarter as a percentage -- not to measure but to kind of draw a conclusion from that because the contracts are kind of firm in one quarter and begin in another. So I think we will continue to see programming costs rise, as Michael referred to. We're looking at the high single-digit increases, that would be including retrans. And we'll continue to manage them as best we can. I think that overall, our focus is continuing to leverage that programming in the most effective manner we can to offer great services and a great experience to our customers so they don't have to reason to go anywhere else.
Operator: The final question comes from the line of Tom Eagan with Collins Stewart.
Thomas W. Eagan - Collins Stewart LLC, Research Division: I have a question on voice. Given that the lackluster results we've seen from other cable operators, there's been considerable concern about the prospects of this business. I was wondering if you could comment on how you guys determine what the best value is for this business. Is it you keep the price where it is and to maybe grow high subscribers? Or is it something else?
Brian L. Roberts: Well, I think we look at the whole experience for our customers and the best value for our customers. It's always a balance of rate and volume, and that's kind of part of what we do in any subscription business. And we look at how it plays within the overall bundle, which has still been a very effective value proposition as Triple Play churn comes down, so we feel strongly about continuing to offer voice and include that in a package. I think we're going to continue to invest in that product. We'll have some great new features and functionality coming out in the next quarter or 2. So voice will be a mainstay of our offering, and we'll continue to balance rate and volume.
Marlene S. Dooner: Thank you. And thank you, all, for joining us this morning.
Operator: There will be a replay available of today's call starting at 12:30 p.m. Eastern Standard Time. It will run through Wednesday, November 9 at midnight Eastern Time. The dial-in number is (800) 585-8367, as well as (855) 859-2056, and the conference ID number is 12595426. The recording of the conference call will also be available on the company's website beginning at 12:30 p.m. today. This concludes today's teleconference. Thank you for participating. You may all disconnect.